Operator: Greetings and welcome to the Sify Technologies earnings announcement for the quarter ended June 30th. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. (Operator Instructions) As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Christopher Chu with Grayling. Thank you, Mr. Chu. You may begin.
Christopher Chu: Thank you, Operator. I'd like to extend the warm welcome to all of our participants on behalf of Sify Technologies Limited. I'm joined on the call today by Raju Vegesna, Chairman and Managing Direct; and MP Vijay Kumar, Chief Financial Officer of Sify Technologies. Following our comments (inaudible) there will be an opportunity for questions. And if you do not have a copy of our press release, please call Grayling at 646-284-9400 and we'll have one sent to you. Alternatively, you may obtain a copy of the press release at the Investor Information section of the company's corporate website at www.sifycor.com. A replay of today's call may be accessed by dialing in on the numbers provided in the press release or accessing the webcast in the Investors Section of Sify Corporate website. Some information measures referred to during this call and in the earnings release may include non-GAAP measures. Sify's results for the year are according to International Reporting Standard or IFRS a will differ somewhat from the GAAP announcement which has been made in previous years. Our presentation of the most directly comparable financial measures calculated and presented in accordance with GAAP and a reconciliation of such non-GAAP measures and of the differences between such non-GAAP measures and most comparable financial measures calculated and presented in accordance with GAAP will be made available on Sify's website. Before we continue, I would like to point out that there are certain statements contained in the earnings release and on the conference call that are forward-looking statements rather than historical facts and are subject to risks and uncertainties that could cause actual results to differ materially from those described. With respect to such forward-looking statements, the company seeks protection afforded by the Private Securities Litigation Reform Act of 1995. These risks include a variety of factors, including competitive development and risk factors listed from those described in the forward-looking statements but are not intended to represent a complete list of all uncertainties in terms of the company's business. I'd now like to introduce Mr. Raju Vegesna, Chairman an Managing Director of Sify. Raju?
Raju Vegesna: Thank you, Chris. Good morning, everyone. Thank you for joining on the call. As I've said to you before, we are focusing on three points. I would like to spend time apprising you of our progress on them. Our thrust into (inaudible) is now among the first choice for enterprise customers looking for an integrated (inaudible) partner. Second is aggressively pursuing the (inaudible). (Inaudible) in Sify being awarded, one of India's largest network integration projects this year and our purpose and the importance of the (Soho) and (SMB) market in India. In doing so, we have discovered some (inaudible) segments of the market and we are (inaudible) portfolios to meet that need. The process is now (in) expanding our customer base and processing our facility to expand (inaudible) that we offer into our existing customer base. Last quarter, we launched the (inaudible) cloud-based video conference service to large and small (entertainers) and the reception has been very positive. That couple with our (audio) conference has been a new benchmark in (inaudible) cost effective for (exit) tools. Our (net cost) for (inaudible) is not keeping clear to (inaudible). Our (1500 net) (inaudible) today are spread across more than 800 cities and towns. We are expanding our existing portfolio cloud services with the (inaudible) new hourly and monthly plans. The offering of our (path finder) presence in the (inaudible) India, we have been able to provide (inaudible) to the Middle East. Our (inaudible) business to (DFS) by segment remains (inaudible) specific and we are beginning to attack large (inaudible) (fuels) and we recently signed with three public sector banks long-term contracts with a – for a network and connect with (inaudible). Security and system integration (inaudible) the other key drivers of the IT (inaudible) portfolio. We have now some interesting developing on the e-learning, our landing platform (inaudible) with our unified landing (software), landing management (inaudible) and the (web meeting) and the (meeting completion). We expect these tools to help us learn a valuable share of the great market by element platform and web tool meeting tools. Our marketing efforts are seeing some good results, I’m happy to show you (inaudible). I would now request Mr. Vijay Kumar, our CFO, to expand on the financial highlights of this quarter, after which I will share our forthcoming plans. Vijay?
MP Vijay Kumar: Thank you, Raju, and good morning, everyone. I will now provide detailed financial results for the first quarter of financial year 2012-2013. Sify reported revenues of INR1974 million for the quarter ended June 30, 2012 against a revenue of INR2259 million for the corresponding quarter of the previous year. As previously reported (audio gap) INR179 million as compared to INR109 million in the corresponding quarter previous year. Net (inaudible) for the quarter was INR68 million as against a net loss of INR111 million in the corresponding quarter previous year. Capital expenditure during the quarter was INR230 million and cash balance as at the end of the quarter was INR134 million. There is let up in our focus on optimizing costs and that has resulted in continued positive operating cash flow. As a discipline, we are looking to monetize our existing and emerging infrastructure in the shortest possible time. Our Data Centre business will benefit from the launch of two new large facilities in (inaudible) and (Mumbai) in the third quarter of this financial year, both in terms of capacity and technology. As (Chris) (inaudible) earlier, we have landed with one of the largest government orders in network integration in recent times. The coming quarters will see a significant capital operating expenditure to support the (sale). I will now hand over to Raju for the (inaudible). Raju?
Raju Vegesna: Thank you, Vijay. (Inaudible) to (inaudible) so far. But in our (inaudible) as an enterprise facing integrated IT company, than consistent build up robust products (inaudible) to address the complete (ITT) ecosystem and (inaudible) finally (inaudible) with our strength on the (inaudible). We are clear. Our focus on procuring large government orders consist of hard to get the (inaudible) is picking up speed. And (inaudible) schedule is unlikely to be (inaudible) of excellent business in (inaudible). Our status as a project and our current project for the (inaudible) are just the starting point. And our investments in expanding our network reach and (inaudible) our (inaudible) services line. Again, thank you for joining us on this call and I will now hand over to the operator for questions.
Operator: Thank you. Ladies and gentlemen, we will now be conducting a question-and-answer session. (Operator Instructions) Your first question comes from the line of (Hero Satari) – Jay Goldman.
(Hero Satari) – Jay Goldman: Can you talk about the (inaudible) June 20th, regarding the 20th filing, and if you plan to provide any update on that?
MP Vijay Kumar: (Inaudible) was seeking clarification on the Form (20-F) of the last (inaudible) and those clarifications have already been replaced and posted on SEC.
Operator: (Operator Instructions) Gentlemen, I’m showing we have no further questions. I'll turn the floor back over to management for closing remarks.
Raju Vegesna: All right, thank you all for joining us on the call and we look forward to interacting with you all through the new financial year. Thank you. Good-bye.
Operator: Ladies and gentlemen, this does conclude today's teleconference. You may disconnect your lines at this time and we thank you for your participation.